Operator: Thank you for standing by. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the Green Brick Partners, Inc. Third Quarter 2023 Earnings Call. [Operator Instructions] I would now like to turn the call over to Rick Costello, Chief Financial Officer. Please go ahead. 
Richard Costello : Good afternoon, and welcome to Green Brick Partners' earnings call for the third quarter ended September 30, 2023.  Following today's remarks, we will hold a Q&A answer. As a reminder, this call is being recorded and will be available for playback. In addition, a presentation will accompany today's webcast and is also available on the company's website at investors.greenbrickpartners.com.  Joining us on the call today is Jim Brickman, Co-Founder and Chief Executive Officer; Jed Dolson, President and Chief Operating Officer; and Rick Costello, Chief Financial Officer.  Some of the information discussed on this call is forward-looking, including the company's financial and operational expectations for 2023 and beyond. In yesterday's press release and SEC filings, the company detailed material risks that may cause its future results to differ from its expectations. The company's statements are as of today, November 1, 2023, and the company has no obligation to update any forward-looking statements it may make.  The comments also include non-GAAP financial metrics. The reconciliation of these metrics and the other information required by Regulation G can be found in the earnings release that the company issued yesterday and in the presentation available on the company's website.  With that, I'll turn the call over to Jim Brickman. Jim? 
James Brickman : Thank you. Before we start, I would like to congratulate Jed Dolson on his promotion to President and Chief Operating Officer of Green Brick. Jed has been an integral part of our leadership team for almost 14 years and has consistently demonstrated exceptional leadership and a deep commitment to the company's mission and value. Jed has and will continue to play a critical role in driving the company's success.  Now moving on to our performance. I am extremely pleased to report another exceptional quarter for Green Brick's financial and operating performance. Led by our industry-leading percentage increase of net new sales orders and record gross margins, we continued to defy the pressure on housing affordability and sales velocity created by the elevated level of mortgage rates during 3Q. Our performance continue to lead the homebuilding industry, highlighted by homebuilding gross margins of 33.3%, which are both a record high for Green Brick and the best among public homebuilding peers as shown on Slide 4.  Strong orders and improved cycle times that are 120 days shorter than peak cycle times in 2022, bolstered our home revenue deliveries in 3Q by 16% year-over-year to 754 closed homes. As a result, homebuilding revenue increased 5.3% to $416 million. We continue to generate over 80% of our revenues from infill and infill adjacent communities. Net income for the third quarter was $72 million or $1.56 per diluted share, which resulted in a return on average book equity of 25.3% year-to-date. We believe our exceptional results stem from our superior locations, our self-development land strategy, operational and process improvements, and most importantly, the hard work, dedication and operational excellence of our team.  Net new orders remained robust during the third quarter increasing 95% year-over-year to 788 homes. Year-to-date, our net new orders grew 73% year-over-year, the best rate of increase among public homebuilding peers as shown on Slide 5. Our cancellation rate decreased 130 basis points sequentially to 6.1%, which was the second lowest cancellation rate in company history and the lowest cancellation rate among peers. Jed will provide more color on our sales environment shortly.  According to the National Association of Realtors, with higher interest rates and an already constrained supply of homes, national affordability fell over the summer to the lowest level since 1985. As shown on Slide 6, existing home inventory has dropped to near historical lows with most of our markets having three or fewer months of supply. Existing homeowners continue to stay put rather than lose the low-rate mortgages. And this is particularly true in infill locations.  As shown on Slide 7, over 60% of outstanding mortgages have an interest rate below 4%, and more than 80% have an interest rate below 5%. Green Brick has been able to maintain a strong sales pace because a significant portion of our homes are in desirable infill locations with fewer selling owners selling existing homes and less competition from other builders. Demand has continued to grow as 3 million additional millennial and Gen Z potential homebuyers have begun to enter the market and are expected to continue to impact demand over the next decade, as shown on Slide 8.  Most importantly, Dallas and Atlanta, our two largest markets, are attracting more of this demographic compared to U.S. average, largely due to growing employment and relative affordability. We expect this will continue to create opportunity for Green Brick to offer new home construction in desirable locations and to gain market share in the face of lower available inventory. According to John Burns, new homes are 30% of total home sales in Dallas for the trailing 12 months through August. This compares to 18% for the top 32 markets in the U.S. and 10% to 15% historically.  To position us to capture this long-term demand, we continue to prioritize our search for prime land opportunities. As the availability and cost of capital reaches an unsustainable level for many small builders and developers, we have begun to observe more pockets of opportunity. While overall land prices remain sticky, we believe our strong balance sheet and industry-leading gross margins will continue to provide us with opportunities. We expect that our close-knit relationships with local landowners and our entitlement and development expertise will allow us to source and act quickly on deals that are strategically aligned with our business.  For one example, our recent acquisition of 78 homesites in Vero Beach for our subsidiary builder, GHO Homes, represents the last remaining new home opportunities in a longstanding, desirable, high-end master plan community. Due to low existing home inventory and limited competition from other new homebuilders, we expect to generate attractive returns and gross margins in this community. In the face of uncertainty in rates, we remain resilient and adaptable. We pride ourselves on our ability to navigate the present turbulent environment while maintaining focus on our long-term objectives.  I do believe we're in a different dynamic than we were in a year ago. Despite higher mortgage rates, buyers have been adjusting to the more challenging rate environment as we have seen more than twice as many cash deals year-over-year, but consistently strong FICO scores. FICO scores averaged 748 on our Q3 closings. We have reduced the use of mortgage rate buydowns since the beginning of 2023, but it is still an available tool in our toolkit as required. And because of our industry-leading gross margins, we will have more flexibility in adjusting home prices as needed. Our team will continue to monitor and evaluate each community and optimize pricing and sales pace.  With our operational efficiency and strong understanding of our local markets, we have the ability to modify square footage, floor plans and options to help address affordability issues and buyers' needs.  With that, I'll now turn it over to Rick to provide more detail regarding our financial results. Rick? 
Richard Costello : Thank you, Jim. Please turn to Slide 9 of the presentation. Home closings revenue for the third quarter grew 5.3% to $416 million driven by our 16% year-over-year increase in home closing units to 754 homes delivered. This is partially offset by a 9% decline in our ASP to $551,000. The decline in ASP was predominantly driven by a year-over-year increase in the percentage of Trophy Signature Homes closed as well as by a change in product mix within Trophy. In that regard, Trophy has both shifted to offering smaller square footage homes and transitioned from their most expensive houses as they close out their most prime locations.  Our homebuilding gross margin was not affected by a lower ASP. On the contrary, it has climbed each quarter since 4Q of '22 and reached a record high of 33.3% during the third quarter. This Q3 level was 90 basis points higher than our previous record set in 3Q of '22. Homebuilding gross margins have consistently been among the highest in the homebuilding industry as shown on Slide 4.  SG&A, as a percentage of residential unit revenue for the third quarter, was up 40 basis points year-over-year to 11.3%, primarily due to an increase in brokerage commissions that have returned to historic norms for co-broker deals. For the quarter, pretax income increased 0.5% to $98 million. Net income attributable to Green Brick and diluted earnings per share were slightly down to $72 million and $1.56 per share, respectively, due to a higher tax rate in connection with the timing and stricter eligibility for 45L energy efficiency home credits. We expect fewer homes to be eligible for tax credits this year compared to 2022 due to the change in qualification requirements. However, we are building more ENERGY STAR-certified homes to increase our future ability to capture available tax credits.  Our book value per share was $26.39 at the end of the quarter, up 26% year-over-year. In the face of higher mortgage rates, we continue to lead our public homebuilding peers in year-to-date new order growth as shown on Slide 5. During the third quarter, net new home orders increased 95% year-over-year to 788 units. Revenue from new home orders was up 80% year-over-year to $452 million. Active selling communities at the end of Q3 increased 16% year-over-year to 86 leading to a 74% increase in our quarterly absorption rate to 9.2 homes per average active selling community.  Our cancellation rate for the third quarter continued to decline, dropping 1,150 basis points year-over-year and 130 basis points sequentially to 6.1%, the second lowest in company history. And as shown on Slide 11, this third quarter cancellation rate was also the lowest among public homebuilding peers. We believe the strong demand we experienced is a function of our quality locations, demographic growth and in-migration in our core markets. Our infill and infill adjacent communities face limited competition from existing home supply as existing homeowners are reluctant to forfeit their low interest rate mortgages. There are also fewer new home competitors in those areas due to lack of land availability, the higher total finished lot costs and the more complicated entitlement and development processes required for these desirable build locations.  Fueled by strong demand, we have been able to gradually increase our backlog closer to our desired level. Backlog value at the end of the third quarter increased 10% year-over-year and has now increased 69% from the end of last year to $623 million. Backlog ASP slightly increased 1.3% to $680,000. Now unlike our decline in ASP on closed homes, our backlog ASP did not decline as Trophy sold a larger portion of finishing homes that closed during the same quarter in which they were sold. This is compared to our other builders, who sold a greater number of homes at earlier stages of construction. Trophy, a spec home builder, now represents a smaller portion of overall backlog value as buyers at lower price points are more comfortable with quick delivery homes.  Spec units under construction, as a percentage of total units under construction, was 61% at the end of the third quarter, down from 73% at the end of 2022. Additionally, during Q3, we ramped up starts by 79% year-over-year to 879 homes started for the quarter against the backdrop of continued strong demand. Year-to-date starts now total 2,379 averaging 793 per quarter. This level of starts is roughly in line with our delivery pace for the year through September 30 and over 1,700 of those starts have occurred in the last 2 quarters, indicating the accelerated pace of starts since the beginning of the year.  Subject to the movements of mortgage rates, we anticipate continuing to start homes at a robust pace to meet demand in our high-performing markets in Texas, Georgia and Florida.  Finally, our balance sheet is stronger than ever. At the end of the third quarter, 100% of our debt was fixed rate with an average pay rate of 3.3%. We have $223 million of cash on hand at the end of the third quarter that is ready to deploy opportunistically. We also have no amounts drawn on $360 million of lines of credit, providing ample liquidity and flexibility. Our debt-to-total-capital ratio as of 9/30/23 decreased 620 basis points from last year and 110 basis points sequentially to 21.8%. Our net-debt-to-total-capital ratio was 9.0% as of the quarter's end, down 1,650 basis points from last year and 160 basis points from last quarter. We will continue to improve the strength of our balance sheet while we carefully evaluate growth opportunities.  With that, I'll now turn it over to Jed. Jed? 
Jed Dolson : Thank you, Rick. Despite higher mortgage rates, sales orders were stronger than typical seasonal trends across our brands during the third quarter. Net orders in Q3 were up 95% year-over-year and year-to-date net orders are now 73% higher. This was not a surprise to us as demand continued to outweigh supply in our infill and infill adjacent locations. While demand is robust, affordability became more challenging as mortgage rates increased during the third quarter. As a result, incentives on new orders ticked up in September to 5.1%. For the quarter, incentives averaged at 4.4% of sales price, up from 3.9% in the previous quarter. Our perimeter neighborhoods require the most incentives.  We are carefully managing our sales pace on a community-by-community basis. While sales orders remain strong year-over-year and an 8% plus mortgage rate may cause a negative impact on buyer psychology and create affordability concerns that affect buyers' decisions on how much house they can purchase, where they can afford to purchase a home and whether to purchase a home. In October, we increased incentives and restored offering limited rate buydowns and/or closing cost credits in selective neighborhoods. We will continue to monitor the market carefully to adjust our pricing as needed as well as use our market intelligence to drive decisions on exactly what type of floor plans to build and options to provide, providing when prudent, more affordable options for our buyers and broadening our base of potential buyers.  As Jim mentioned earlier, our industry-leading gross margins should afford us to be more aggressive in pricing our homes if the market slows down. Our supply chain remains stable. With improvements in the availability of labor and materials, our overall cycle times for homes closed in the third quarter decreased by another 40 days sequentially to approximately 6.1 months on average. This is a total of more than 120 days of improvement from peak cycle times in 2022. Trophy cycle time declined to 4.4 months, allowing Trophy to bring more inventory to market, which is critical to homebuyers facing heightened uncertainty on rates. This is also allowing Trophy to turn inventory more frequently during the year, thereby increasing our effective return on investment.  We expect our scale as the third largest homebuilder in DFW along with our better operational efficiencies will allow us to continue to improve our cycle time performance. Our focus remains on managing our capital efficiently as we continue sourcing, closing and developing new land opportunities under disciplined underwriting that we believe will be accretive for our growth story. On the land development side, we continue to expect to have approximately 6,000 finished lots as of the end of the year with 80% of those lots in infill and infill adjacent locations as shown on Slides 12, 13 and 14.  Based on our exceptional gross margin and operating margin performance, we have been allocating more resources toward land acquisition opportunities. During the third quarter and in October, we closed on several opportunistic land deals. One notable transaction was our second land acquisition in Austin. The new community, Braker Valley, is conveniently located near Downtown Austin. Future residents will enjoy quick access to UT Austin, employment hubs like the Samsung, Austin semiconductor plant and popular recreation activities.  At the end of the quarter, we hold ample high-quality land positions across our markets with over 26,200 lots owned and controlled. With a solid pipeline, we are well positioned to grow our market share in supply-constrained infill and infill adjacent submarkets.  I would also like to provide an update on our first community in Austin, Trinity Ranch, that opened for sale at the end of July. We are very encouraged by the amount of interest and traffic in Trinity Ranch since opening. At the end of October, we had sold 18 homes in the first 3 months. The ASP on the new homes at Trinity Ranch is around $325,000. The Austin area continues to experience population growth driven by a resilient job market and excellent quality of life, creating an influx of new families.  We're excited to expand the footprint of Trophy Signature Homes through our value-rich homes.  With that, I'll turn it over to Jim for closing remarks. 
James Brickman : Thank you, Jed. To conclude our call today, I want to express my appreciation to our employees. We believe that a company is only as extraordinary as its people. We are proud to have a team that embodies the company's vision and mission and has worked tirelessly to achieve industry-leading performance time and again.  I would also like to congratulate Jed again on his well-earned promotion and thank him for his leadership and contributions. Jed's strategic and disciplined approach to our operations has led to Green Brick's success and growth.  We remain committed to executing our strategic goals and capitalizing on the long-term demand for housing. We pride ourselves in building exceptional homes at industry-leading gross margins and expanding our market share, while maintaining a strong balance sheet. We are well equipped to continue to create value for our shareholders.  Thank you once again for your participation and support. This concludes our prepared remarks. We will now open the line for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Jay McCanless with Wedbush. 
Jay McCanless : So the first question I had, talking about the price shift in Trophy Signature, any color you could give us on where ASPs are running for that brand now versus where maybe they had been a quarter or two ago? 
Jed Dolson : Yes. This is Jed. Jay, we've seen a dip from, say, $480,000 down to approximately $450,000 over the past two quarters. 
Jay McCanless : And do you think that's going to be the kind of the run rate going forward with that brand? 
Jed Dolson : Probably. It's hard to figure out mix right now. I think we just mentioned that Austin is averaging about $325,000. We build smaller homes down there. So if the consumers are gravitating towards the smaller homes, it possibly could go down below $450,000. 
Jay McCanless : And then the other question I had with the smaller homes, are we still talking the same gross margin percentage? Or how is that going to trend as you go to those smaller footprints? 
Jed Dolson : Yes. Great question. We're seeing consistent margin at Trophy across square footage. 
James Brickman : Jay, this is Jim. To add a little bit of color to that. As Trophy continues to be a greater percentage of our revenue, I think you are going to see margins on Trophy go down. But we're still optimistic that our return on capital is going to maintain the same because we're going to be able to turn that inventory much faster, at slightly lower margins. So we think that the economics are going to be similar to the rest of our brands, but it's just going to come slightly lower margins, slightly faster sales pace, lower cycle time. 
Operator: Your next question comes from the line of Carl Reichardt with BTIG. 
Carl Reichardt : Congratulations, Jed. Jim, you talked about land and seeing some pockets of opportunity now. One of your peers said yesterday that they're starting to see lot developers, who thought they had a builder on a hook, a small builder for a deal or small builders are walking from deals, can't put them on balance sheet or whatever. So they're seeing some opportunities. Can you talk about the kinds of deals you're seeing out there? Is this more related to Trophy, more related to the traditional business? What kind of margin you're underwriting to? And what has changed to make those opportunities show up? If it's not price, is there something else that suddenly made them attractive like they're available and they weren't before? 
James Brickman : Well, I think the main driver of this is capital availability. It's really not demand. That's why we're pretty optimistic about what's going on. We're still seeing very strong demand for housing, but to get an acquisition development loan at a bank right now is a very difficult process for a developer. And we have actually cashed out some developers where we were going to option lots in future phases. As you know, we were sitting on about $230 million of cash. And in 3 or 4 neighborhoods, these developers really wanted cash badly, and we helped them with that situation at really favorable economics to our company by cashing -- basically buying lots that we had options in future phases that we think are great, because we've been -- we've been building there for a year, 2 weeks, 3 years with great sales, and we took -- we seized on those opportunities.  We think there's going to be more opportunities. One of the opportunities we really are working on in 2 or 3 transactions right now that we don't have a lot of competition in is buying a larger piece of properties that might have a small commercial component to them or maybe even the small multifamily component to them. Those are very difficult deals to finance right now. And if -- we will buy large parcels that have those components where other builders won't. And basically, we put those parcels in at a very de minimis value, so if they don't work out. We don't have a lot of risk and we're buying it for the residual value of either the single family or the townhouse land.  So yes, we're seeing kind of the first end of opportunities just because of the capital constrained markets of the lending environment and the higher cost of capital. 
Carl Reichardt : That's a very comprehensive answer. And then obviously, we talked a lot about Trophy, how it's performing, what the customers there are seeing. Can you talk about the business sort of the second move-up and some of the segments of the business that you addressed that a lot of the other public builders don't on the higher end and how those communities are performing, what your customers are seeing and doing? 
Jed Dolson : Yes, I'll take that, Carl. This is Jed. We're seeing very strong demand for the infill locations in the second and even third time move up. So we're seeing -- we're seeing far less incentives at those price points and very continued strong demand. Those houses are not as easy to build as the lower entry-level Trophy homes, so they're more complex. So we're happy with the sales pace that we're selling those homes at today. 
Richard Costello : And Carl, interestingly our -- this is Rick. Interestingly, our deposits are still real strong there. And we're seeing probably twice as many cash deals as we did before as buyers are recognizing, hey, this is like getting a 30-year 8% CD. So there -- they have the capability of selling assets or already in cash. 
Operator: Your next question comes from the line of Alex Rygiel with B. Riley Securities. 
Alexander Rygiel : Nice quarter, gentlemen. A couple of quick questions here. First, can you talk a little bit about sort of the net new community openings planned for the next 4 quarters? 
Richard Costello : We're not disclosing any kind of range of percentages in new community growth. But with 6,000 finished lots on the ground at the end of the year, we're going to have plenty of start opportunities including new communities, obviously. 
Jed Dolson : From an operational standpoint, I would just add that we're excited about the 6,000 lots. We feel like we will not be bumping up against sales limitations and/or gap out situations like we previously had. The fact of the matter is it just takes a long time to get these lots on the ground in today's environment. We like -- we really like the basis we're at. We really love the locations, and we're excited to just build homes and not have to worry about land development so much. 
Alexander Rygiel : And then new home or home starts outpaced new orders a bit. Starts were, I think, 3.4 per community. Is your target absorption 3 or higher now? Is that a sort of a safe number to assume? 
Richard Costello : That's the neighborhood that we've been on the top side of now for the entire year. Actually for the entire year, we're more like 3.6, but 3 works great. If we are right in that neighborhood, it is -- it would be wonderful. 
James Brickman : As Trophy expands at lower price points, obviously, we're expecting a lot more sales per neighborhood. We were thrilled in Austin, and we just had a grand opening there. What did we make 12 sales this month, Jed? 
Jed Dolson : We did. 
James Brickman : So I hope we do that next month. I don't promise. But as Trophy expands in the $350,000 price point, we expect a lot more sales per neighborhood. 
Operator: [Operator Instructions] Your next question comes from the line of Alex Barron with Housing Research Center. 
Alex Barron : Good morning, gentlemen and great job on the quarter. Sorry, I had to step out for a couple of minutes. I don't know if somebody asked this already. But on your margins, obviously, a new high here. I was just kind of curious how much in the way of incentives is embedded in those margins? And how sustainable do you guys foresee those being into the next year or so? 
James Brickman : Well, we answered it partly, Alex. The margins in our AAA locations, particularly like The Providence Group in Georgia only builds in totally infill locations. Incentives there were totally de minimis. In a C location for Trophy, where we're going to be down the street from other large public builders. Jed, what our incentives are going to be competitive with Horton and what you're seeing with Pulte and other guys? 
Jed Dolson : Yes, they could range up to 8%. 
Richard Costello : And really, Alex, it's very much going to vary by community on a blended basis. We went from 3.9% to 4.4% total incentives during the quarter from Q3 to Q4. So if interest rates are going to remain high, they're going to be a little bit higher. So it really will depend on what your forecast is for interest rates. 
Alex Barron : Got it. Jim, in terms of -- I was wondering if you guys have any kind of average statistics for your average consumer. What's their household income? What's their average FICO, what's the average down payment that they're putting down, those types of things? 
James Brickman : Well, the average FICO was 743. Obviously, that varies as you move out in the perimeter, it goes down. And as you move into a AAA location, it goes up as does the down payment. Down payments with our Florida builder, GHO, are over $100,000. Our cancellation rate, I think, was 1 as a result. When you go to a C location, we will experience probably the more typical 15% to 16% cancellation rate. And in the infill locations, they're still single digit. 
Alex Barron : What about household incomes that you guys are seeing? 
Jed Dolson : They range so widely just even within Trophy that I hate to give an exact number on that. It's really community by community. 
Alex Barron : I guess what I'm just trying to get at is there's this wide perception that 8% is like hard for people to qualify. But obviously, that depends what people are looking at the home, so that's what I'm trying to get at. 
James Brickman : Well, our mortgage joint venture tells us there's still wiggle room in incomes, but we're pushing on the C location, the most of the buyer can pay. If that answers your question? 
Jed Dolson : Yes. I would add that in the perimeter locations, we're seeing the debt-to-income ratios in the low 40s. Yes. And it's not uncommon for average household income for -- in those far perimeter locations $8,000 to $10,000 a month. 
James Brickman : Alex, let me touch on one other thing that I don't think we communicate enough to analysts and investors. Our Trophy brand -- Jed, what's the smallest down payment or earnest money deposit we get at the Trophy? 
Jed Dolson : Yes, Typically $5,000. 
James Brickman : Okay. So let's say, it's $4,000 to $5,000 in Trophy. Many of our peers when you take a look at their backlog, they're accepting contracts with a $500 earnest money deposit. It's basically a free option for buyers. That's another reason why our cancellation rate is so much lower because we're not a credit repair shop. We actually expect people when they give us earnest money to buy a house and close. 
Jed Dolson : And we're seeing most buyers transact, especially with the Trophy brand, we're seeing them buy finished homes where they can contract and close within 30 days. 
James Brickman : So what I'm trying to say is all backlogs are not created equally. We have a higher quality backlog. 
Alex Barron : Got it. And if I could ask one more, are you guys using forward commitments to lower the rates or just standard buy down the points -- standard rate buydown? 
Jed Dolson : We're using some forward commitments, but we -- our typical incentive package, the consumer is using it to partially pay down rates and partially pay for closing costs. We're -- our mortgage JV tells us that for this quarter, our average rate for mortgage close was about 100 bps underneath what market rate was that day -- during that time period. So they're using some of that incentive to buy down the rate. 
Operator: [Operator Instructions] Ladies and gentlemen, at this time, there are no further questions. This concludes today's call. Thank you all for joining. You may now disconnect.